Operator: Thank you for standing by, and welcome to the Qualtrics Fourth Quarter and Fiscal Year 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be question-and-answer session. [Operator Instructions] As a reminder, today's conference call is being recorded. I would now like to turn the conference over to your host Mr. Steven Wu, Head of FP&A and Investor Relations. Please go ahead.
Steven Wu: Thank you, and welcome to Qualtrics fourth quarter and fiscal year 2021 earnings conference call. On the call, we have Zig Serafin, CEO; Chris Beckstead, President; and Rob Bachman, CFO. Following prepared remarks, we will open the line up to answer questions. Our results press release and a replay of today's call can be found on the Qualtrics Investor Relations website. During today's call, we will make statements that represent our expectations and beliefs concerning future events that may be considered forward-looking under federal securities laws. These statements reflect our views only as of today and should not be relied upon as representative of our views as of any subsequent date. We disclaim any obligation to update any forward-looking statements or outlook. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. Please refer to the press release and the risk factors in MD&A sections of our SEC filings, including our most recent 10-Q and our 10-K that will be filed for the fiscal year 2021. We'd also like to point out that the company presents non-GAAP measures in addition to and not as a substitute for financial measures calculated in accordance with GAAP. To see the reconciliation between these non-GAAP and GAAP measures, please refer to our press release filed earlier today and our Investor Relations presentation, both of which are posted on our Investor Relations website. With that, I will turn it over to Zig.
Zig Serafin: Thank you for joining us today. Q4 was an outstanding quarter, and it caps off a record year for Qualtrics. Revenue for the quarter was $316 million, up 48% year-over-year. And this was our fourth consecutive quarter of robust growth, bringing our annual revenue for fiscal year 2021 to $1.1 billion. And not only did we pass the $1 billion revenue milestone. We're accelerating through it. Q4 subscription revenue was up 61% year-over-year and annual subscription revenue in 2021 was up 51% year-over-year to $871 million. And this is phenomenal growth at our size and our scale. Because of this strong momentum, we expect total revenue in fiscal year 2022 of $1.402 billion to $1.406 billion, representing 31% growth year-over-year at the midpoint. Experience Management is becoming as critical to business success as any CRM or HR system. And the ability to understand how your customers and your employees are feeling and then take action on that data is just golden. We have a 10-year head start on this market. And as our growth demonstrates we also have a significant opportunity ahead. In a world where it's easier than ever for customers to change service providers and where employees are leaving their jobs at record rates, the experiences that companies deliver have never been more important. Our 128% net retention rate in Q4 illustrates that we're quickly becoming the strategic partner for enterprises. Our XM operating system is a single secure cloud-native platform that enables organizations to bring together all of their experience data, customer, employee, product and brand and then analyze it and take automated action to continually improve the experiences that they deliver. And with our acquisition of Clarabridge, the leader in omnichannel conversational analytics we're changing the game again. Clarabridge adds a critical new layer to our platform that helps organizations discover everything that their customers and employees are saying wherever they're saying, it including in social media, e-mail, support calls, chats and product reviews. Our customers are designing products services and experiences that their customers want next by acting on customer feedback from anywhere. And they're designing new ways of working by listening to their employees. Amid the great resignation, we're seeing strong growth in our Employee Experience product line, as companies look to attract and retain the best talent, increase employee engagement and improve productivity. Let me give you an example -- or at least a couple of examples of what we saw from this quarter. As travel resets, Southwest Airlines has an ambitious goal of adding a significant number of employees to its workforce in 2022 which is a challenge for any company in this labor market. Southwest expanded its relationship with Qualtrics and invested in our Candidate Experience solution. So from the interview process, all the way through to onboarding they can understand and act on the most important moments along a candidate's journey to the company. We also formed an exciting new relationship with Comcast. They're investing to create a culture of feedback across all of their customer-facing teams. In Q4 they chose Qualtrics to get closer to their advertisers and publishers by understanding their experiences with the company and then training their teams based on that data. Qualtrics will help them strengthen these critical relationships and empower their sales and service teams to deliver greater results. We're seeing a groundswell of customer adoption across all of our product lines. And in Q4 we expanded or formed new relationships with leading organizations like AXA, Cummins, BP, Mitsubishi Motors, HSBC and the State of Maryland. At the end of 2021 we had 143 customers spending $1 million or more annually and that is a 93% increase year-over-year. And we added 3000 customers in 2021. And today more than 16750 organizations around the globe are using Qualtrics to build deeper relationships with their customers and employees. And we continue to innovate with an intense focus on our customers' success. Because all of our products are built on our XM operating system, we can innovate faster and enable our customers to unlock more value than ever before. In Q4, we launched Experience ID. This is a major platform innovation that provides a single unified view of everything that people are sharing with an organization. Experience ID enables organizations to zoom in on the detailed preferences of individual customers to personalize their experiences and then they can zoom out to get powerful views by segments such as teams or geographies to identify new market opportunities. Ultimately, we're helping them build deep trusted relationships at scale. And now we have more than 5 billion Experience IDs in our system. Our platform is a system of action. And when it's connected with systems of record such as their CRM or customers' HR systems or systems of engagement such as e-commerce or mobile apps anyone can turn insights into action with clicks not code using our powerful workflow engine. As we rapidly grow our ecosystem we have more than 275 integrations with companies like SAP, Salesforce, Zendesk and ServiceNow nearly 3x more at this time last year. That lets organizations collect experience data and quickly act on it in the systems that they use every day. We continue to invest in areas that will supercharge our growth and deliver greater value to our customers. One of those areas is in key verticals. In November we acquired health care analytics company SurveyVitals extending our leadership in health care. The company is approved to administer all 11 CAHPS standards which are standards that assess the patient experience. In Q4 Trinity Health chose us as its Experience Management platform across 88 hospitals and hundreds of health and well-being services. With Qualtrics they'll be able to gather feedback and take action to deliver better experiences for providers patients and their families both in person and virtually. International is another key growth lever for us. And the investments that we're making to support increasing demand for Experience Management outside the US are paying off. In the quarter 30% of revenue came from international which is a company first. Finally, we've already received the tremendous response to our acquisition of Clarabridge. This is particularly because companies are looking to replace point solutions with a single Experience Management platform that can meet all of their needs. Clarabridge is one of the most advanced intent emotion and sentiment understanding systems and is now uniquely part of our platform. And as part of this, Clarabridge is creating opportunities for us to expand rapidly into digital, voice and social media analytics. A great example is Barclays Bank. Barclays has been using Qualtrics for many years. And in the quarter, they added Clarabridge technology to enable analysis of unstructured customer feedback for their retail bank. So, now Barclays will have a single system to get a 360-degree view of everything that customers are saying whether it's in social in the call center wherever they're saying it. And this will help them uncover opportunities across financial segments and ultimately power their digital or any experience that they provide as a driver for growth and efficiency. At the beginning of 2021, we strengthened our leadership team with executives from growth companies like Microsoft, Salesforce, Twilio and Adobe. We made another strategic hire in Q4 with DP Brightful joining to lead our global sales organization. DP comes from Salesforce where he was the most recently Global Chief Revenue Officer of Salesforce Health, a multibillion-dollar business unit. And today, we are announcing the appointment of two incredible new Board members, Marketing Executive, Omar Johnson, who has led marketing teams at Apple and Beats by Dre; and Ritu Bhargava, a long-time technology leader from SAP and Salesforce. Attracting and retaining talent like this has helped us build an incredible foundation for our company. And Q4 was another great hiring quarter with more than 400 new employees joining Qualtrics. Q4 is a powerful finish to our first year as a public company and I couldn't be more proud of the results our team is driving, and I want to thank them for their hard work. We are clearly building Qualtrics for long-term durable growth. And with that, I'm going to hand it over to Rob to discuss more detailed results.
Rob Bachman: Thanks Zig, and good afternoon, everyone. As Zig noted we had an excellent finish to 2021. I'll now touch on some of the Q4 highlights and then go into our outlook for Q1 and the full calendar year 2022. Total revenue was $316 million in the fourth quarter, up 48% year-over-year and $1.076 billion for fiscal year 2021, up 41% year-over-year. Fourth quarter and full year total revenue contribution from Clarabridge was $21 million, net of recognized purchase accounting adjustments. Subscription revenue for the fourth quarter was $259 million, up 61% year-over-year. For the full year, subscription revenue was $871 million, representing growth of 51% year-over-year. Clarabridge contributed $20 million of subscription revenue in the fourth quarter and full year 2021. Professional services revenue was $57 million for the fourth quarter and $205 million for the full year, representing 7% and 9% growth year-over-year respectively. Clarabridge contributed $1 million of services revenue in the fourth quarter and full year 2021. Calculated billings for Q4 were $514 million, up 54% year-over-year and $1.293 billion for the full year, up 47% compared to last year. Calculated billings included approximately $55 million from Clarabridge in the fourth quarter, which had an opening deferred revenue balance of $36 million after being subject to a one-time purchase accounting write-down. The seasonality in the Clarabridge business is such that almost half of the annual calculated billings occur in Q4. Our remaining performance obligations representing all future revenue under contract ended the year at $1.733 billion, up 51% year-over-year. This metric includes both new and renewal software contracts along with our professional services business. Current remaining performance obligations, which is all future revenue under contract that is expected to be recognized as revenue in the next 12 months, was $1.012 billion, up 57% year-over-year. Our standalone dollar-based net retention rate increased to 128% in the fourth quarter, which reflects the strong upsell motion we are seeing in our existing customers as they expand their usage across different experience pillars and deeper within each product family. We will begin including Clarabridge in this metric in Q4 of 2022 after the one-year anniversary of the acquisition. Customers spending more than $100,000 in annual recurring revenue grew 45% year-over-year to 1,940 customers. And as Zig mentioned earlier, our customers spending more than $1 million in annual recurring revenue grew even faster at 93% to reach 143 customers from 74 customers at the end of 2020. Turning to margins. As we discussed on our last call, gross and operating margins will be negatively impacted by the purchase price accounting write-down in the Clarabridge acquisition because for a period of time we will incur 100% of the expense but won't recognize 100% of the revenue. Our Q4 non-GAAP gross margin was 76.6% consistent with the year ago period. Subscription revenue continues to increase as a percentage of total revenue from 75.1% of our total revenue in Q4 of 2020 to 81.9% in Q4 of 2021 as we focus on driving software growth on our platform. Our non-GAAP operating profit for the fourth quarter was $0.3 million, resulting in a non-GAAP operating margin of 0.1% compared to negative 2.2% in Q4 of 2020. We delivered a non-GAAP operating profit in each quarter of 2021. Purchase price accounting related to the Clarabridge acquisition negatively impacted our non-GAAP operating margin by approximately 200 basis points in Q4. Operating cash flow for Q4 was $14 million, compared to negative $98 million in the year ago period. Free cash flow in the quarter was negative $60 million, compared to negative $145 million in Q4 of 2020. This year-over-year improvement is due to operating margin expansion and significantly lower cash payouts for SAP equity-based awards. In Q4 2021, $3 million of cash outflows was related to the cash settlement of stock-based payment liabilities, compared to $105 million in the year ago period. Q4 2021 was also impacted by the purchase of our Provo headquarters for $67 million. As a reminder free cash flow may fluctuate on a quarterly basis due to the timing of cash collections and we believe it's best to assess our cash flow performance over a longer term. We ended the year in a strong cash position with approximately $1.015 billion in cash and cash equivalents. Moving now to our Q1 and fiscal year 2022 business outlook. We expect total revenue for the first quarter to be $324 million to $326 million, representing 36% growth year-over-year at the midpoint. Within this, we expect subscription revenue to be in the range of $270 million to $272 million, representing 45% growth year-over-year at the midpoint. We expect non-GAAP operating margin in the range of 1% to 2% and non-GAAP net loss per share of $0.02 to $0.00 assuming 580 million weighted shares outstanding. For the fiscal year 2022, we expect total revenue in the range of $1.402 billion to $1.406 billion and subscription revenue in the range of $1.177 billion to $1.181 billion. At the midpoint of the ranges this represents total revenue growth of 31% and subscription revenue growth of 35% year-over-year, respectively. Clarabridge is expected to contribute $100 million in subscription revenue and $110 million in total revenue in 2022. We expect non-GAAP operating margin in the range of 1% to 3% and a non-GAAP net loss per share between $0.02 and $0.00 assuming 595 million weighted shares outstanding. In closing and as Zig said, we had an outstanding quarter and are extremely excited about the significant and attractive market opportunity ahead of us. Qualtrics is well-positioned to build on our strong foundation and market leadership position, which gives us continued confidence in our 2022 outlook. With that Zig, Chris and I are happy to take your questions and we'll turn it back to the operator.
Operator: Thank you. [Operator Instructions] Our first question comes from Kirk Materne of Evercore ISI. Your line is open.
Kirk Materne: Hi. Thanks very much. Congrats on a great end of the fiscal year. Zig, I was particularly struck by just the jump in net retention rate quarter-over-quarter, and obviously, the large deals this quarter. Can you just talk about what's maybe driving that in terms of expansion within one product use case, or are you really starting to see companies expand to a broader adoption of the platform as a whole? I was just wondering if you could give some more color on that front in terms of what's impacting those two particular metrics. Thanks.
Zig Serafin: Yes. Thank you Kirk for the question and great callout. Look, I think, that that NRR metric and the update there actually reinforces what's happening around the use of our platform. Customers are deepening their relationships with us. They're consolidating point solutions. At the same time, what's happening is C levels, including CEOs are getting involved in making Qualtrics a mission-critical component of their overall strategy to understanding their customer, particularly around understanding the 360 view of the customer, and how they're serving the customer across different channels, whether it's digital, whether it's the in-store experience, whether it's people working in the field serving another business for example, whether it's call center activity, just bringing all of that together and standardizing on one system. And of course, they're coupling that with capability set around product, product experience and our entire Employee Experience suite, which is another extremely important differentiating aspect of what we do as a company. So, the combination of these things are really important in how they end up taking effect inside of a company. And we continue to see strong demand based on those dynamics as well. So that's what's factoring into the metric that you saw there in Q4. But frankly, there's fundamentals that continue to play out given the nature of how we built our technology as well as the way that we engage with customers.
Kirk Materne: That's super helpful. And maybe just one follow-up for Rob. Rob, are you going to be giving the contribution from Clarabridge on a quarterly basis? I was wondering if you are if we could just get that for 1Q. And then how should we think about the guide for this year looks great. But based on sort of the momentum in the core business, it sort of assumes a little bit of a decel in the core business. I was just wondering if there's anything you'd call out on that. I realize comps get tougher for you guys, but anything else to sort of speak to on that front? Thanks.
Rob Bachman: Yes. Yes. Happy to chat on those topics. We're quickly as we've talked about in the past working to integrate Clarabridge into the business. And that's a key priority and a known success factor for us as we go forward. We wanted to give some color to you and to the market around Clarabridge for the forthcoming year. But going forward, we'll see the results integrated in how we report them out. And then in regards to the guidance going forward, I'm incredibly pleased with the guidance. I would reiterate our focus on driving that long-term durable growth. You see that in the guidance. In particular, I'd call out 35% growth in subscription on an annual basis in our guidance, as we go, this significant growth at our size and scale and it represents our forward-looking view of the business.
Kirk Materne: Super. Thanks guys. Congrats.
Zig Serafin: Thank you.
Operator: Thank you. Our next question comes from DJ Hynes of Canaccord. Your line is open.
DJ Hynes: Hey, guys. Congrats on the great quarter here and finish to the year. Zig, curious what in your view is going to be the biggest business benefit from the evolution from XM Directory to Experience IDs? Just help me understand that. 
Zig Serafin: Look, I think there's -- if you look at the market landscape of technology that people use to try to understand the human being that an organization is serving, there's nobody that has truly been able to go and create call it -- think of it as an authentic real-time view of how people feel what their sentiments are, and frankly know what to go do with that as a result of that type of data. And so what used to be called XM Directory that is now the Experience ID helps companies to be able to build out an understanding of who their customers are, map that data based upon different demographics, preferences, trends, behaviors and then use that data set to make some of the most business-critical decisions. For example how do you shore up a particular segment of customers and six problems that might be contributing to revenue churn, or how do you end up better shaping a product experience that the product team needs to be paying attention to? The beautiful thing about XID is not only have we created a very unique way of capturing that type of data as it flows into the organization through any channel that someone is providing that data through; structured, unstructured, the call center, the social experience, the research that you might be conducting any of those. Not only can you do that, but the idea that you could now actually action on it in a relevant and contextually oriented way is a game-changer. And our approach here is to build a unique technology, a unique capability that helps to move the ball forward. And that then manifests in the way that our products are connected to XID. So, every one of our products, if you look at the Employee Experience portfolio, if you look at our Product Experience portfolio, if you look at our customer experience portfolio, every one of those products is built on the XID. And that's very unique because what it means is across the enterprise, across marketing, across customer care, across HR, people are able to tap into that type of data set. They can look at the relationship between what's happening with the customer and then the ultimate output on the behavior of that customer. Or they can look at for example how an employee is interacting with a customer. So, there's some very unique properties there. It's not just capturing that data and how you do so, what you do with it, how do you action on it, how to become a part of the workflow of what the company is doing. And everything that I'm describing here we have built to be a platform okay? And because it's a platform it's extensible. It can be information that you end up pulling into other systems inside of the company. It's information you can pull in from other systems that exist inside of the company into our platform. And then of course an ecosystem can build upon that platform, right? And that's really how we think about that that it is a powerfully unique capability that we're building. And you're going to continue to see us focus on that. We've got a lot of momentum behind it.
DJ Hynes: That's great. Super helpful color there. Maybe just a follow-up I'll direct to Rob. Can you give us a sense for the magnitude of spend uplift you're seeing when an existing customer layers Clarabridge on top of their existing Qualtrics use? I mean it's going to be a while before we see this included in net revenue retention. So, it would be helpful just to get some context there.
Rob Bachman: Yes, the context I would give you DJ is I think similar to some of what we talked about when we closed the acquisition. Clarabridge has about 400 customers. And as we indicated at the time we're coming up on or approximate to 100 million run rate. So, you can get an average spend per customer there just based on those numbers. And over time we would expect to see as new as existing Qualtrics customers add on Clarabridge it will be a similar type of spend and potentially upwards of that as they leverage the power of the Qualtrics platform. But that will directionally give you an idea of what their average spend is. 
DJ Hynes: Yes, perfect. Okay, thanks guys. Congrats again.
Zig Serafin: Thank you.
Operator: Thank you. Our next question comes from Mark Murphy of JPMorgan. Your line is open.
Mark Murphy: Yes, thank you very much and I'll add my congrats as well. So, I guess maybe for all of you there is some consideration in the investment community of whether software spend might have been pulled forward as a category in the last 12 months. I'm just curious what crosses your mind when you hear that debate because you're exceeding, you're guiding above, the retention improved. It kind of looks like all systems go. So, I'm just curious if you are seeing something different or perhaps extra tailwinds in the pipeline from reopening activity. You've got activity with airlines and hotels or maybe the Employee Experience and HR side because of all the dynamics with hybrid work and tight labor markets or something else.
Chris Beckstead: Hey Mark, Chris Beckstead here. I'll start and appreciate the congrats. We're seeing really strong demand in the fourth quarter which was just continued strengthening over the course of the year. As you recall we had a really tough compare in the fourth quarter. And the type of growth that we experienced in a balanced way really indicated in a positive way for us that we're in a strong demand environment for our particular solutions and the value that our customers are getting from Experience Management. When you look at the combination of customer adds that we had in the year over 3,000 customers added in the year coupled with the customers that we have growing their spend, the number of $1 million-plus customers almost doubling over the prior year and really across the product portfolio overall, really pleased with the dynamic that we're seeing and continued strong pipeline as we start in 2022, as reflected in our guidance.
Zig Serafin: Mark I'll just add to this. This is Zig here. I mean, look, number one companies that we engage with which is a very strong and growing market are looking at Experience Management as a competitive differentiator. They know how vital it is now to operate your company based on experience both on the employee side, given how much the world has changed in the last two years and especially on the customer side, right? And this is really, really important. And I think when we entered into the pandemic, people started to use our platform, to be able to make some of the most business-critical decisions. As we're exiting or sort of entering into the post-pandemic phase, we're seeing people heighten their desire to use our platform and frankly to use it in a much more concentrated manner where they're consolidating these point solutions that have existed across companies. And so, these are some of the factors that we're seeing playing into the robust demand that we see ahead of us.
Operator: Thank you. Our next question comes from Keith Weiss from Morgan Stanley. Your line is open.
Stan Zlotsky: Perfect. Good afternoon everybody. And this is actually Stan Zlotsky sitting in for Keith. Maybe just a high-level question, obviously Clarabridge seems to be having a very good momentum and especially this first quarter under the Qualtrics umbrella. Maybe what are some of these early proof points that you're seeing of the combined platform that led you to tick up the guidance for Clarabridge for 2022? And then, I have a quick follow-up.
Zig Serafin: Sure. Hey, Stan thanks for the question. So -- and I'll start this and Chris might have a few points to add to this. I mean, look, what we're seeing is a very strong level of demand as a result of what we've done with Clarabridge combining that into our platform. And in fact if anything, its rocket fuel for how people are looking at standardizing on our XM platform. You asked about some examples. One of them would be what we're doing with HSBC -- actually it was Barclays as an example. So Barclays, this is a bank that's been working with us for a number of years. But on the retail bank side, in Q4, they basically said, look, let's create a 360 view of everything that their customers are telling them, okay? So whether it's call center, whether it's social, chat, wherever it might be happening and be able to use the system combined with Clarabridge to uncover opportunities across different financial segments and ultimately use that data to be able to power digital or any experience to driving for better growth and efficiency in the way that they're engaging with their customers. And part of this is actually more broadly speaking where customers have historically used point solutions for social media monitoring for example or to do voice analytics in the call center or to analyze the chat stream. And what we're doing now is we're creating the ability to first save cost on the combination of those point solutions now being consolidated; but secondly, even more importantly is, create one strong source of data on what customers are, wanting an organization to know, to make stronger decisions on a day-to-day basis regardless of how they're engaging, right? So now you're bringing together the social data, the call center data, the chat data, the product review data. You're combining that with structured information and you're putting that into the Experience ID as part of the single repository of understanding the customer. Other examples would be like Expedia. They were an up-sell and the team helped us be able to sort of expand the opportunity there. And so there's been a number of customers like that that we've got coming through. But that's what's the larger theme here and as I said it's like rocket fuel being brought into the combination of what our platform has to offer for customers and the markets that that, expands us into.
Chris Beckstead: Yeah. I'll just add a couple of additional thoughts in terms of the confidence in the guidance. Q4 is a really important quarter for Clarabridge. They do a lot of deals in that quarter. It's sort of their largest quarter. And as you can see in the results, it was an outstanding quarter for their first quarter as part of Qualtrics. So that definitely contributed to our confidence. And then, really exceeding expectations on early momentum with the two sales organizations working together, we had an opportunity in the quarter where the Clarabridge team was unaware of an opportunity with a customer within the existing Qualtrics customer base that was right in their sweet spot. And we were able to close that deal in quarter, which is very encouraging considering Clarabridge typically has had longer deal cycles, historically than we've had. And the ability to close that quarter – that deal in quarter gives us some confidence that we are going to be able to shorten their deal cycles and be able to get strong early momentum. And then just the excitement around how the sales organizations are getting enabled. We just had our sales kickoff. The excitement and energy level was fantastic a lot of enablement getting the pitch together of what the combined companies can bring to our customers. And our sales organization is geared up ready to go and expand Qualtrics into the broader customer base.
Stan Zlotsky: Perfect. That's very helpful. Thanks, guys. And a quick follow-up. On the inorganic contribution in the quarter thank you for calling out the $55 million from Clarabridge in billings. But do you – could you give us some sense for how much it added to RPO and CRPO? 
Rob Bachman: Yes. It's similar in regards to the growth rate impact – actually very similar to RPO and CRPO to the impact it had to calculated billings.
Stan Zlotsky: Perfect. Thank you so much.
Zig Serafin: Thank you.
Operator: Thank you. Our next question comes from Bhavin Shah of Deutsche. Your line is open.
Bhavin Shah: Great. Thanks for taking my question and echo my congrats. You guys talked a lot today about the strong adoption you've seen in employee engagement, I guess not only today but over the last several quarters. But in terms of prioritization of Employee Experience relative to your other products, namely Customer Experience, are you seeing any changes in how customers are prioritizing one category over the other?
A – Zig Serafin: I would say if anything they're prioritizing a single platform and that's a major differentiator advantage because of just the superior architecture that we built with this system over many years. And if you just take a step back and look at how companies operate, you say, okay how am I doing with my customers? How am I doing with my employees, every single day? How am I doing with my products? And do they make sense for the market that I'm trying to track? And how does it show up in my brand? I mean these are the four core experiences of the business. And as we find more and more senior executives at the C level including CEOs engaging in making a decision to consolidate and create one platform, we're extremely well positioned for that just because of the nature of our technology and how we built it and how we end up engaging and partnering with customers. Nobody else in the marketplace has a system like this. So what happens is a customer might start with us on the Employee Experience side and then pretty quickly they want to get going on the Customer Experience side or they might be going on the product side. And that continues. We've seen that as the trend. And if anything the NRR rate that we highlighted in Q4 is evidence of the fact that that's taking place including the number that Chris also highlighted earlier on the number of $1 million-plus customers and the rate of growth that we've had in that in the last year.
Bhavin Shah: Got it. Super helpful. And just a quick follow-up for Rob. Just if I'm looking at your guidance for margins next year and in terms of your investments over the course of the year, can you maybe just provide any additional context into the impact of whether it's Clarabridge write-down versus kind of return-to-office costs or maybe additional investments that you're going to make into the product to go to market? And just on top of that like any specific regions that are focal points over the course of this upcoming year?
Rob Bachman: Yes. There's clearly a very robust market opportunity ahead of us. And as we've said before we'll continue to invest to capture that. There will continue to be some headwinds relative to the purchase price accounting for Clarabridge. As you know those normally last for about a year post acquisition maybe 15 months. So you'll see that for a period of time. And we are certainly hopeful and believe that in-office and travel will come back to some degree. Now at the same time we will continue to manage this business with discipline. We're nimble in the way that we manage our spend and do so to focus it on areas for that growth that we've talked about. So really happy with the guidance, which again reiterates our comfort level with our non-GAAP operating margin profit and positivity. So that's how we're thinking about those things. We'll be smart but clearly invest for the growth that is ahead. Those investments as you indicated will come in product. You've heard us talk about some of those but it is across that expanding the platform and the capability that exists. And then in region you'll hear us continue to talk about this amongst the significant opportunity that still lies ahead of us in the EMEA region. We continue to partner with SAP closely internationally and in that region as well as the APJ region as well as further expansion into the Latin America market. So it really is a global push.
Bhavin Shah: Super helpful. Congrats again.
Rob Bachman: Yeah. Thank you.
Operator: Thank you. Our next question comes from Brian Peterson of Raymond James. Your line is open.
Brian Peterson: Congrats on the quarter and thanks for taking my questions. So just one for me. Zig you mentioned point solutions a couple of times in the call. And I'm just curious if we're looking at a Fortune 500 customer -- how many point solutions would they typically have? And if you guys are coming in and it's a net new logo for you how many point solutions are you displacing? 
Zig Serafin: It all varies, but what's important is there are different budget centers that our go-to-market engine is optimized for. And so if you go into the call center there are outdated approaches to voice analytics for example. If you go into the team that might run the chat interaction system that might involve yet a different analytics tool. Or they might not even have one as an example, but they got budget for us. They're thinking about how to connect the dots between what's going on and how they make their decisions. If you go into the customer care area or if you go into the marketing department you'll find there's a whole other area which is around social monitoring, but also social care. And these are just scratching the surface of point solutions that are often outdated in the approach or they're limited in their capability set. And if you also go on to the side of just market research and how people do studying of what market segments are important and where to take their brands that's a whole another set of vendors that people end up using. So what's important is not only recognizing that these budget pools exist, but what we've uniquely done is we have designed a system where individual departments want to opt in to be a part of using our system inside of a company. And we have a structural advantage as a result of that because of the fact that we built a single code base. We built a workflow engine that can help a company to operate across the departments. We can help a CEO to be able to get a single view of the entire customer experience that they have going not looking at it in shards and then get stuck in ultimately playing guessing games on where to go next. These are extremely important properties that we didn't go overnight. As I mentioned we've got about a 10-year advantage. It takes a long time to go build this. And so as a consequence of that we do end up consolidating point solutions that are existing in the marketplace and that's to our advantage. And that's partly what shows up in these NRR numbers that we talked about or in the rate of growth that we have on $1 million-plus customers or the $100000-plus customers that you saw as well. 
Operator: Thank you. Our next question comes from Gabriela Borges of GS. Your line is open. 
Gabriela Borges: Good afternoon. Thanks for taking my questions. Zig you mentioned point solutions a couple of times there. Would love to get an update on the competitive environment more holistically? And particularly if you're seeing any changes with one or two of your competitors that may be going through M&A and also with potentially taking budget that had been previously allocated to consulting companies. Thank you. 
Zig Serafin: Sure. Hi, Gabriela. Thanks for the question. So I'll add on to my last answer a little bit and just expand a bit just given that you provided a different lens on that question. So one of the things that's interesting and important to note is when you're building a new technology category this is not a marketing exercise. It's fundamentally rewiring the way that things work by building a new way of solving problems and actually changing the game and the value that customers get out of it. It starts with technology and connects with the services experiences that we deliver. It has deeply a connection to the nature of the data sets that we end up creating and curating for customers and then what you do with it given the nature of action and workflow. And so if you look at the larger market whether it's customer that companies that build customer engagement tools or whether it's research vendors or whether it's companies that might be delivering components for customer care the list is long. Naturally as you're building a new market you will find people react and say well I want to participate in that market. And one of the things that they might try to do is do some M&A and they'll try to stitch it together and build out a new marketing positioning approach to it. And at the end of the day that's quite welcomed because it creates more awareness around the technology category. But in the end what it comes down to is what unique value is being created for customers. And so, it's very difficult to stick your way into a new category through x number of acquisitions and say hey I have the same thing. Fundamentally, it comes down to the technology architecture. We've built a superior software architecture with XM as an operating system. We have created a platform that allows ecosystem and ecosystem to be able to come in and create a vibrant new solution on top of that system. And we are uniquely taking advantage of that single software platform by innovating with product capabilities in ways and in a pace in which competitors are not able to keep up to it. If you look at for example in our guidance the level of software R&D that we are going to be investing in in 2022, there's nobody else out there that will be able to match that. What's not important -- what's not so important is the number itself as the rate in which we end up unlocking new use cases new product capabilities that are on top of that system. And so when customers engage with us, they expect us to be able to innovate at that rate, because it changes the game relative to the point solution vendors or maybe the services and consulting-oriented vendors that they may have been using. And in so doing we unlock an even larger addressable market. I think you all have noted that like we participate both in the traditional research marketplace, which is a multi, multi, multibillion-dollar market. But we're also engaging in the market around continuous everyday improvement and how you engage with employees and how you end up engaging with customers. And that's a significant market as well. And we're bringing those markets together under one umbrella as far as how we think about TAM. But unlocking that requires both the software technology architecture and the go-to-market engine which was very well questioned earlier. These questions were asked which is hey what are you doing in that? We have a very unique advantage. It's a combination of the go-to-market system and how that works with our software architecture and that's what's contributing to the metrics that we published today.
Gabriela Borges: I appreciate the color. One follow-up for Rob. Rob, how are you thinking about longer-term operating leverage in the model? It sounds like 2022 is a little bit of an investment and integration year with Clarabridge. So maybe just give us a little bit of a longer-term view as well as to how we should be thinking about margin? Thank you.
Rob Bachman: Yeah. We're certainly consistent with the long-range model that we produced a year ago around the time of the IPO. And we will -- we expect to see trending towards that model over time. I think you've noted correctly on 2022, how we're investing and continuing to drive that growth and then when you get in the out-years, you'll see trending towards that long-range model.
Gabriela Borges: Thank you.
Rob Bachman: Yeah.
Zig Serafin: Thank you.
Operator: Thank you. Our next question comes from Terry Tillman of Truist Securities. Your line is open.
Terry Tillman: Yeah. Good afternoon, everyone, and congrats from me as well. I have just two quick questions. First on just the partner ecosystem. Zig, you've talked a lot in the past and we've seen lots of press releases both on EX, CX, Product Experience et cetera. You clearly have a lot of momentum in the business. How much benefit are you getting from a lot of these kind of stakes in the ground with these go-to-market partners, or is that still more into the future? And then I had a follow-up on international.
Zig Serafin: Sure. I'm going to let Chris start with that and then I'll just tackle on a few -- couple points.
Chris Beckstead: Yeah. It's been a major focus for us as we thought about scaling the business and being the leader in the space the importance of having that ecosystem, having the right partners, both from a technology perspective, but also from a consulting and other services. And we're really pleased with the progress we made in 2021 for laying the foundation. But as we think about the relative contribution from some of those -- both from a lead gen as well as involvement, there's a lot of opportunity ahead for those to continue to expand and grow. We've talked about what we've done with SAP extending that with ServiceNow and others great momentum on all those fronts as well as with some of the major service providers. And so, it's going to be a key for us, as we get to the scale and size for us to have this long-term durable growth that we talked about for this to continue to contribute on a more significant basis going forward and the foundations we made in 2021. We expect continued growth from those efforts.
Zig Serafin: Well, it's a big differentiator. And I can't overstate how important that is, because in my comments, I noted that there's more than 275 integrations today that we have and that's more than three times more than what we had at this time last year. And what's important is not just that we have a larger growing vendor universe of companies who are connecting to us or for example those companies who end up enabling the implementations or build strategy and consulting around our system. What's important is that they're getting deeper. Okay? So the nature of, for example, the integration that might take place for an employee-facing use case and employee-facing systems are creating, for example, more time and contact-sensitive ways of enabling an experience or taking a corrective action. And so, those are pathways towards becoming a deeper part of the way that companies operate. And the fact that customers, our customers are pulling in these other vendors and saying, hey, you got to integrate with Qualtrics, is also another important sign of the fact that we're building this platform right. And again, to Chris' point too, we also think there's a significant opportunity ahead of us. We're just in the very early innings of that, relative to what we think the possibility will be there. And it's partly why we're staying focused around how ecosystem, the way that we design our platform is not only an advantage for us, but it's also the advantage for the partners that we're working with.
Terry Tillman: Got it. And just the other part of my question. Thanks for the answer there, Zig and Chris. On the international business side, it hit a major milestone of 30%. Curious from what you're seeing in the pipeline and just all the things you have focused on go-to-market investments. Should this continue to step up? I know it's a race against -- it's in a race here with North America that appears to be doing very well and then you have like LatAm and APAC and the different parts of the business. But I'm just kind of curious about international. Could that get to like 40% of the business by the end of 2022? Just trying to understand its proportion of the total. Thank you.
Chris Beckstead: Yes. Yes, great question. And we're really pleased with what happened internationally in 2021. And the investments that we've been speaking about that we've made there are paying off and continuing to pay off. Especially excited about the EMEA performance in the fourth quarter and the year was just absolutely phenomenal. And as we've talked about, one exciting thing about that growth lever is, in the long term international is a huge market opportunity, right? In the long, long term there's no reason why it couldn't be half. It's going to take time to get there, as you mentioned, right? Our North American business continues to exceed expectations and perform really well and it's hard to grow too fast as a percentage, given how fast North American business is growing. But the trend we expect to continue with international going there, we're continuing to make significant investments this upcoming year to continue to grow there. We love our international leadership and the hires we've made there are phenomenal at continuing that growth. And then, with Clarabridge, Clarabridge has a significant presence in Europe and that will give us another kind of differentiation and expansion internationally as well. So definitely going to be a continued theme for us, as we think about the long-term sustained growth and a lever for years to come.
Terry Tillman: Thanks.
Operator: Thank you. Our next question comes from Arjun Bhatia of William Blair. Your line is open.
Arjun Bhatia: Perfect. Thanks for taking my questions and I'll add my congrats. Maybe to start off with Zig, longer term, I'd just love to hear how you're thinking about the opportunity to expand further into customer engagement, right, whether it's proactive customer service or marketing or social response, et cetera. It certainly seems like an adjacent market for you and it seems like there may be some natural synergies there. Just help me understand how strategically you're viewing that opportunity for Qualtrics.
Zig Serafin: Arjun, thanks for the question. I mean, look, I'll put it sort of briefly, which is, yes. And more -- if you look at the dynamic of how our system is being used, people are connecting us with, call it, customer engagement systems of record, et cetera, et cetera. But we're going to watch for where the high-growth opportunities exist. A lot of what we do is customer led. And frankly, today, if you were to double click on our customer experience business, the multiple product modules, the way that those modules work together across different budget centers inside of a company is a powerful combo. But it's also lining us up very closely with other systems that are quite complementary. And we're going to -- we'll look at the market much in the same way that you just described.
Arjun Bhatia: Perfect. Thank you. And then, one follow-up, if I can. I noticed you opened a new office in the D.C. area and obviously Clarabridge is based out of there. Can you just talk about the presence that you have in the public sector? And what does the opportunity there look like? And when do you expect maybe meaningful contribution from the federal opportunity?
Chris Beckstead: Yes. As time has gone on we've increased our focus on different industry verticals. And one of them that we're exceptionally excited about is the public sector. As you know, our initial roots were in the academic market. And we've been at it in the public sector for years with our progress on FedRAMP and other investments we've made in that space. And we've been increasing our presence in that area in D.C. And Clarabridge having their headquarters out there was a tremendous opportunity for us to double down within that market go after talent and grow. We've got aggressive hiring plans in that market to expand and grow. And as I think about the key verticals for us going forward public sector is going to be super important as organizations state local federal are focused on the voice of the citizen and improving their processes and interactions. It's a great opportunity for us a huge growth lever along with the health care that we've talked about. And that focus -- we have a dedicated and focused public sector team that sells in that organization. It can speak the language and build the relationships and it was a great year in that area. But as you know, that's an area that can drive large deals and is an area that you focus on for the long-term because it takes time to build. 
Arjun Bhatia: That’s very helpful. Congrats. Thanks.
Chris Beckstead: Thank you. Operator. Are there any more questions, operator.
Operator: One moment please. Our next question comes from Raimo Lenschow of Barclays. Your line is open.
Raimo Lenschow:   Hey. Thank you. Thanks for squeezing me in. Congrats from me as well. It was an amazing fourth quarter. I wanted to ask about the vertical opportunity. Obviously, we saw the acquisition of SurveyVitals for health care in Q4. Can you just talk a little bit about if you think about the evolution of a company going more vertical is something that usually kind of represents then the next leg of the story as well? And we just talked about the public sector as well. But like how do you see the different vertical -- how do you see the verticalization of Qualtrics over time and that as a growth opportunity? Thank you.
Zig Serafin: Yes. Hi, Raimo. Thank you for the question. First off, I can't overstate the importance of the word platform. When we were in this very special place where we get to build a new market category we're building a new technology category. But the approach that we're taking is a platform that can scale across many different industries and we're constantly watching, how well we are doing across a broad universe of vertical markets. Really important. There are companies that we can all look at in history of tech who end up getting overly focused on specific verticals and they end up building something that doesn't scale over time, right? And they end up chasing down very deep, deep pathways that are difficult to get out of. Our approach has been to build a highly extensible scalable flexible platform. Again, it goes back to my point about the fact that we have about a 10-year advantage in the way that we built this system and we're going to continue to invest against that platform very aggressively. Now, as we go into the go-to-market side, to Chris' point, we highlighted two examples. There are other examples. Those are not the only examples of industries that are effectively pulling us in to go and leverage the platform to create unique differentiating capabilities for members in those industries. And so again the beautiful thing about it is we can scale down, and go deep but yet leveraging the properties of the platform such that any innovation that we might end up creating within a specific industry often end up also accruing to the advantage of many other industries as well, which in total actually contributes to the ability for us to scale this company and ultimately create the kind of business results that we were talking about. So that's how we think about it.
Raimo Lenschow: Okay. Got it. Makes sense. Thank you.
Operator: Thank you. Our next question comes from Brent Bracelin of Piper Sandler. Your line is open.
Brent Bracelin:   Good afternoon. Accelerating new logo adds, accelerating ARPU accelerating net retention, no doubt that you're seeing a lot of momentum in the business Zig. I wanted to drill down into just the durability of the growth specifically around Employee Experience. Obviously with the labor shortage, it feels like outside looking in that there was a clear tailwind to the business around cross-selling Employee Experience in the installed base. But could you just walk us through how much runway is left? Are we -- did you see a huge adoption cycle, where 2022 would be more of a digestion year now that half or two-thirds of the employees of the customer base has now adopted Employee Experience, or are we still very early days? Just frame maybe the opportunity and durability of the Employee Experience kind of cross-sell and potential new land opportunities would be helpful. Thanks.
Zig Serafin: Thanks, Brent. I'll say this very carefully. We are in super early days. And the reality of it is, we're also seeing strong demand. And that's partly what's guiding us north of $1.4 billion in 2022. But when you think about Employee Experience just as an example since you called that out, the nature of how we built a purpose-built system not -- it's not like we went in and said okay, let's will repurpose some other technology and say we're in that market, okay? Because I've seen that happening. We went from scratch, built a set of product capabilities, partnering with some of the world's leading HR practitioners and CHROs and in ways in which is tapping into HR budgets. where we're getting significantly greater allocation of how people think about their strategy and their budgets around overall HR systems. Now that isn't because we're going to go replace HRS systems. It's actually because we're becoming hand-in-hand highly complementary to the way that people are looking at connecting with the life cycle of their employees from whether it's how they improve their recruitment tactics, to how they end up onboarding a candidate, to the way that they look at their technology systems, and how those technology systems actually affect and shape engagement inside of a company, to how do they actually end up optimizing choices and benefits for people to make sure they got the right comp packages and incentive systems, to how they think about inclusivity and diversity and how they actually end up running a company at scale for the reality of the modern workforce that people need to be able to go and support and engage and how they think about the well-being of people. And the list is long. But what we've done is, we have built a set of product capabilities and we're innovating faster and better than anybody else in the marketplace right now. And I think it's important to pay attention because that part of that business can often be understated in sort of the impact that we're actually making on companies. And it's going hand in hand with what we're doing in some of these other businesses, Customer Experience, Product Experience brand. So, we're in early days on that particular one. But yes, we see a very robust opportunity ahead of us in what's happening in that Employee Experience area.
Brent Bracelin: Helpful color. Thank you.
Operator: Thank you. I'm showing no further questions at this time. Ladies and gentlemen, this does conclude today's conference. Thank you all for participating. You may now disconnect. Have a great day.